Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick Third Quarter Results Conference Call. During the presentation, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. As a reminder, this conference is being recorded and a replay will be available on Barrick's website, barrick.com, tonight, October 27, 2016. I would now like to turn the conference over to Kelvin Dushnisky, President.
Kelvin Dushnisky - Barrick Gold Corp.: Good morning, and thank you for joining us on what I know is a busy day for earnings call. Before we begin, I'd like to highlight that during this presentation, we'll be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. A review of our most recent AIF will provide you with a more complete discussion. I'm here today with our Chief Financial Officer, Catherine Raw; our Chief Operating Officer, Richard Williams; and our Senior Vice President of Business Innovation, Michelle Ash. Participating on the line are Bill MacNevin, GM of Goldstrike; Matt Gili, Executive General Manager of the Cortez District; Jim Whittaker, GM of Lagunas Norte; Nigel Bain, GM of Turquoise Ridge; and Greg Walker as the recently appointed Executive GM-Pueblo Viejo. Many of you will recall that Greg was previously the Executive Managing Director of the Porgera JV mine in Papua New Guinea where he had a proven track record of delivering best-in-class improvement, training and mentoring local workforces, and engaging exceptionally well with government and community partners, and we're confident that Greg will apply all of these same talents at Pueblo Viejo. Greg takes over from Ettiene Smuts. Ettiene helped drive the construction of the Pueblo Viejo mine. Then as the mine GM, successfully led the project through ramp-up to its current operating stage. In his new role, Ettiene returns to project management where his initial areas of focus will include digitization. As has become our practice, our other general managers will also be available for questions following the formal portion of the call. Now before getting into the specific third quarter highlights, I want to start by reiterating the strategic goals that we outlined earlier in the year, and how they're reflected in our results. The first goal is building meaningful partnerships. You'll have seen that we announced a strategic collaboration with Cisco during the third quarter for the digital reinvention of our business. This will start with a flagship digital operation at Cortez, and Michelle and Matt will speak to this in detail later on the call. Our second goal is to produce industry-leading margins in support of our ultimate objective of growing free cash flow per share. We set a target this year to be free cash flow breakeven at a gold price of $1,000 per ounce after paying a dividend. We're on track to achieve that goal with free cash flow breakeven of less than $1,000 per ounce in the third quarter. Our final goal is superior portfolio management. In this context, we further strengthened our capital allocation process, and we continue to maintain a 15% hurdle rate for new investments using a $1,200 an ounce gold price. Now, turning to the highlights of the third quarter and how we're tracking against our priorities. Our operations generated adjusted earnings per share of $0.24 for the quarter, almost $1 billion in operating cash flow, and approximately $675 million in free cash flow. This strong cash flow generation enabled us to repay almost $0.5 billion in debt during the quarter, and we're tracking well to our $2 billion debt reduction target for the year with $1.4 billion repaid year-to-date. In addition to a strengthened balance sheet, our liquidity also continues to improve. We now have less than $200 million of debt due before 2019, and at the end of the third quarter $2.6 billion in cash along with our undrawn $4 billion credit facility. I'm also pleased that Moody's and S&P have improved their outlook on our investment grade credit rating. In the third quarter, we produced almost 1.4 million ounces of gold at very low all-in sustaining costs of $704 per ounce, our lowest-cost quarter of the year. And we've increased our gold production guidance range to 5.25 million to 5.55 million ounces and reduced our all-in sustaining cost guidance for the year to $740 to $775 per ounce, marking three consecutive quarters of improved cost guidance. As we continue to apply the best-in-class principles to capital expenditures, we've identified another $75 million in potential savings and deferrals for 2016 and have adjusted our capital guidance accordingly. So in summary, it was a strong quarter, and we're tracking well to achieve our improved guidance and our long-term goal to enhance shareholder value. As an organization, our aim is to deliver low risk, profitable and sustainable growth. Barrick has the industry's largest gold reserves and resources, and a high quality project pipeline. And with the benefit of an improved balance sheet that can withstand gold price volatility, we have greater flexibility to invest in sustaining and growing the business into the future. In that context, the return to Barrick of Mark Hill, and his appointment as the company's Chief Investment Officer will bring additional consistency and rigor to the capital allocation decision-making process. And he'll assist in evaluating growth opportunities capable of delivering long-term value. We also announced the appointment of George Bee as Senior Vice President for Lama, and the Frontera District development. George's immediate focus is to advance the evaluation of a startup project option on the Lama site, and Richard's going to speak to this in further detail later in the presentation. On a personal level, I couldn't be more pleased to welcome George back to Barrick. His experience in the company dates back to being an early GM at Goldstrike and includes key development and operating roles, Pierina, Lagunas Norte and Veladero where I worked closely with George, and I watched him perform at a very high level, technically, and also importantly, in terms of developing strong relationships in the local community. So we're excited about our prospects and we look forward to continuing to report on our progress across the business. And with that, I'd like to ask Catherine to provide more detail on the financial results for the quarter.
Catherine P. Raw - Barrick Gold Corp.: Thanks, Kelvin. Before I go through the slides, I wanted to address up front the extra disclosure that we provided in our MD&A this quarter. And in connection with the continuous disclosure review by the Ontario Securities Commission, we've included additional disclosures for the third quarter, but also for Q1 and Q2, so as to provide greater prominence to GAAP measures. But on to the slides. Our objective is to deliver free cash flow per share, and we aim to grow that over time. To do this on a sustainable basis, we are seeking to manage all the drivers of that free cash flow, be it production, costs, working capital, and capital expenditures. And our third quarter results I believe illustrate how far we've come on this journey. In the third quarter we generated $951 million of operating cash flow. And year-to-date, we've made $1.93 billion. At $674 million, we generated more free cash flow in the third quarter than we did for the whole of 2015, after adjusting for the Pueblo Viejo Stream transaction. And year-to-date, this number is now over $1.1 billion. By focusing on the quality of our ounces and through streamlining the portfolio, implementing best-in-class, we've been able to expand our margins and grow free cash flow in two ways. First and foremost, we deliver leverage to the rising gold price. And secondly, we've driven down our costs. Excluding the impact of the streaming transaction, our free cash flow increased by $418 million versus the third quarter of last year, even despite the reduction in operating cash flow from the sale of assets. This waterfall chart explains how we've been able to achieve this. With regards to what we can control as Barrick, lower CapEx year-on-year, improvement in operating costs, larger volumes and reduced interest expense, contributed $114 million in free cash flow. Another $170 million came from a reduction in project costs year-on-year as well as exploration and corporate development costs. This was offset by changes in the working capital as a result of unfavorable movements in accounts receivable and inventory, but that was partially offset by a favorable movement in other current liabilities. High gold prices, offset by lower copper prices, increased our cash flow by over $280 million year-on-year. Our free cash flow breakeven at the end of the quarter was less $1,000 an ounce. And as Kelvin pointed to, we're trending favorably towards our full year target of less than $1,000 including a dividend. This strong free cash flow has allowed us to reduce our debt, paying down $461 million of debt in the third quarter. Year-to-date, we've now repaid over $1.4 billion at a cost of $70 million, and total debt now stands at $8.54 billion. The result of this debt reduction have been to reduce our interest costs on annualized basis by approximately $75 million. But I think what I want to make the market aware of is that our bonds are trading above par now, and so we are very cognizant that the cost of retiring our debt has increased, and we do this knowing full well that we need to balance shareholder value with reducing risk of our balance sheet over the long term. As Kelvin mentioned, we remain on track to achieve our $2 billion debt reduction target for the year. The result of this debt reduction has meant we now have significantly a more robust balance sheet. With roughly $2.6 billion of cash, less than $200 million of debt due before the end of 2018, and a $4 billion fully undrawn revolving credit facility, our liquidity, our near-term liquidity in particular, is very strong. The combination of our debt reduction efforts and the rising gold price have led to both Moody's and S&P upgrading our outlook. Moody's now have us at BAA3 Stable, formerly having been a negative outlook. S&P now have us at BBB- Positive, formerly having us just at a stable outlook. We've updated our guidance as Kelvin went through, and I won't and spend too long on this, but this is really to reflect the positive impact of our business improvement efforts as well as our increasing confidence as we near the end of the year. Gold production guidance has narrowed and the top of the range lifted slightly to 5.25 million ounces to 5.55 million ounces, and Richard will talk more about this. We're now providing cost of sales per ounce guidance. This is the GAAP cost of sales measure applicable to gold per attributable ounce, and this is $800 an ounce to $850 an ounce. We've lowered the top end of our cash cost guidance to $540 to $565 an ounce and narrowed and dropped the bottom of our AISC guidance to $740 to $775 an ounce. Copper production guidance remains the same at 380 million pounds to 430 million pounds. Cost of sales per attributable pound is $1.35 to $1.55 per pound, and we've narrowed both our C1 and AISC guidance. We now expect, as Kelvin outlined, our CapEx for the year to be between $1.2 billion and $1.3 billion. With that, I'd like to hand over to Richard to provide more details on the operations.
Richard J. Williams - Barrick Gold Corp.: Thanks, Catherine. First, I want to talk about keeping people safe. We use the industry indicator of total recordable injury frequency rate. And this year, we set a tolerance limit of 0.4 at all of our operations. That's the number of reportable injuries times 200,000 hours divided by the total number of hours worked, as you know. And this effort required a significant improvement to some of our operations over time, and year-to-date, we're at 0.41, and this represents the lowest in Barrick's history, and is commendable given the effort on the ground. While we continue to focus on the safety and well-being of our people, it's with deep regret, however, that I have to inform you that one of our teammates, Meckson Kakompe, a haul truck operator at the Lumwana mine, passed away during the quarter as a result of a truck fire. Mine operations were halted there, and all fire suppression systems were inspected prior to restarting operations. Our thoughts are with Meckson's family at this deeply sad time. The tragic loss that they are feeling and his colleagues is immense, and we offer them our heartfelt condolences. Moving on to the environment. While our progress on environmental compliance has been strong against our metrics, we've had an environmental incident at Veladero mine in September that led to a short suspension of activities there. As it turns out, the incident had no measurable environmental impact, but our enhanced monitoring program detected no groundwater impacts. But these events, as we all know, however small, are not acceptable. We fixed the immediate issues at Veladero, and we'll continue our focus on achieving best-in-class standards of environmental and compliance there, and elsewhere across the portfolio. On production, the year-on-year decline is primarily a result of asset divestitures. The operations performed strongly in executing their production plans, and that's reflected in the increase in production guidance for 2016. Our ongoing focus is on delivering best-in-class initiatives to deliver results in driving down costs and increasing productivity. And on Q3, all-in sustaining costs result of $704 an ounce is evidence of the success of the work of the guys on the ground. The combination of positive gold prices and our continued and intense focus on reducing costs and increasing productivity has created a significant improvement in our margin on a year-by-year basis, as Catherine has alluded to. In summary, our ongoing operational excellence work is delivering results over the expected time table, and there is more to come yet. And with that, I'd like to hand over to Bill MacNevin, General Manager of our Goldstrike Mine.
Bill MacNevin - Barrick Gold Corp.: Thanks, Richard. Q3 has been a strong quarter with improvements in operational performance across the site. Embedding best-in-class discipline through focused project execution as part of our operating system is how this is achieved. Points of significance for this quarter are: Arturo reached commercial production for the first processing of ore. TCM recoveries are now in line with predictions. Focus in this circuit is now on increasing mill tonnage rate and circuit up time, and improvements in underground production tonnage, and decrease in unit costs. The focus continues on prioritization and implementation of best-in-class projects to improve our margins and grow the mine. Thanks. I'll now hand over to Matt Gili, Executive General Manager at Cortez District.
Matthew D. Gili - Barrick Gold Corp.: Thank you, Bill. So Cortez continued to deliver outstanding results in the third quarter, with production at 254,000 ounces, the cost of sales of $874 per ounce, and all-in sustaining costs of $531 per ounce. These better-than-expected results are attributable to best-in-class improvements in all divisions. First, in the open pit, we are reducing direct operating costs while producing ore tonnes just to match the planned capacity without building stockpiles. Second, in both the underground and process divisions, we are increasing production while holding costs steady. The next wave of best-in-class initiatives for Cortez is focused on digitization, which we will focus on more detail later in the presentation. Regarding growth, development of the Front Range Declines commenced during the third quarter. The declines are begin excavated using road-header technology and will ultimately be fitted with a conveyor system for more efficient ore transportation from the deeper portions of the Cortez Hills Underground. The result of these improvements is a narrowed and improved full year guidance of between 1.0 million ounces and 1.05 million ounces, and a cost of sales between $880 per ounce and $920 per ounce, and a lower all-in sustaining costs of between $510 per ounce and $530 per ounce. Thanks for this, and I'll now hand it over to Greg Walker, Executive General Manager at Pueblo Viejo.
Greg Walker - Barrick Gold Corp.: Thank you, Matt. Before I talk about the third quarter results for Pueblo Viejo, I'd just like to comment on my first couple of weeks here. As Kelvin said at the beginning, I took over from Ettiene Smuts last month. And I'd just like to say, arriving at PV, you find a very impressive mine site, well set up, well operated and a significant ore body and great opportunity for me forward. I'm very excited about being, taking up the leadership role at the Dominican Republic, and I look forward to working with the government, community, and the employees to deliver increased value for our owners and also all the other stakeholders within the Dominican Republic. On to the site. Pueblo Viejo had a very strong quarter across the board. That was driven by improved ore grade, strong recoveries and lower operating costs during the quarter. For the quarter, we delivered to Barrick 189,000 ounces at an all-in sustaining cost of $425 per ounce. This was a significant improvement over the budget we had in place. We achieved this result through our focused best-in-class program, which continues to drive value in all areas of the operation. In particular, the process optimization projects, which have seen us improve gold recoveries and achieve improvements in the availability of the autoclave circuit. The availabilities increased from 84% up to 86.5%. This improvement set us up to deliver an increased processed tonnes into quarter four, and into the future into the life of mine. That improved outlook has allowed us to increase our guidance at PV for 2016 from 670,000 ounces to 700,000 ounces. Also, during the quarter, silver recoveries continued to improve, primarily as a result of increased pre-heaters performance and a strong operational focus in the short-term interval controls. Also, notably in Q3, our cost reductions, these were driven by decreased consumable expenditures, and the results of our cost-driving initiatives along with lower fuel prices and lower energy costs. Thank you very much, and I'd like to hand over to James Whittaker, General Manager at Lagunas Norte Operations.
James Whittaker - Barrick Gold Corp.: Thanks, Greg. Lagunas Norte had a solid quarter of performance in all areas: health and safety, environmental compliance, production, cost and project development. The best-in-class program continues to add value and cost savings, and we are now planning a second wave of projects into the 2017 year. Our current focus is maximizing throughput to the heat leach pads by increasing equipment utilization. The PMR (20:42) and mine life extension project is on track. We are completing the first stage of feasibility engineering, and focused on delivering a permitting document to the Peruvian authorities. As we move forward into the fourth quarter, we are estimating to be within 2016 guidance, having narrowed the production guidance range from between 425,000 ounces to 450,000 ounces at a cost of sale of $680 to $720 per ounce and an improved all-in sustaining cost guidance to $560 to $590 per ounce. Thanks. I'll now hand it over to Nigel Bain, General Manager at Turquoise Ridge.
Nigel Bain - Barrick Gold Corp.: Thank you, Jim. Good morning, everybody. Turquoise Ridge has become a great example of our best-in-class efforts to improve. In the third quarter, Turquoise Ridge had a strong performance with significant increases in gold produced, combined with reduced cash and all-in sustaining costs. Gold production was 72,000 ounces in the quarter, and continues a strong production year. Cost of sales was $563 per ounce, cash costs were $460 per ounce, and all-in sustaining costs was $583 per ounce, continuing the downward trend of cost reductions. You will recall earlier in the year we outlined our focus areas for best-in-class, and they included improvements to capital, labor and planning efficiencies. In the third quarter, a number of these initiatives were delivered at Turquoise Ridge. These are: increased number of mechanized top cuts, which has resulted in a more consistent ore flow from the mine month-to-month; altered our shift change policies to increase face time; improved maintenance practices; increasing the equipment utilization; and finally, optimized development plan, reducing waste volume and leveraging improved ore geometry. Thank you. I'll now turn it back over to Richard Williams to cover our Veladero mine.
Richard J. Williams - Barrick Gold Corp.: Thank you, Nigel. At Veladero, Q3 production was negatively impacted by weather related issues and a two-week suspension of operations. 2016 was a year of high snowfall, and this resulted in 42 days of lost production. This higher than anticipated snow also created challenges with managing the leach pad water balance within permit limits during the snowmelt. In order to account for this or deal with this, lower grade mine material was stacked in order to have a sponge effect on excess process solution in addition to other mitigating measures. And the excess water in the system has been managed successfully to-date, and we expect that to continue to be the case on a going forward basis. The operations were suspended from September 15 until October 4 after falling ice damaged a pipe carrying process solution on the leach pad area. And this led to an on-pad flow that pushed some material to leave the leach pad over the containment bounds. This material was primarily crushed ore saturated with some process solution, and was contained in that displacement within meters of the incident site, and was quickly returned to the leach pad. The extensive water monitoring in the area confirmed the incident did not have any measurable environmental impacts, but the company immediately completed a series of remedial works required by the provincial authorities which included increasing the height of the perimeter bounds that surround the leach pad to prevent such an incident from occurring again. In addition to these works and in keeping with our vision for a digital Barrick, we're making Veladero a trial site for one part of digital technology that will enhance our environmental and water monitoring activities from a remote operating center in the valley 200 kilometers away with the additional advantage of providing greater transparency to authorities and stakeholders at (25:07) site. Veladero's 2016 guidance has been reduced to 530,000 ounces to 580,000 ounces of gold at a cost of sales of $820 to $900 an ounce, and an all-in sustaining cost of $800 to $870 an ounce. We're also very pleased to announce that the new leader of Veladero mine, the Executive General Manager is Jorge Palmés, who's rejoined Barrick. He was originally from San Juan province and he brings with him more than 20 years of mining experience in Latin America, including six years at Veladero as the Process Superintendent from 2000 to 2006. He has a track record of operational excellence and solid execution, and has consistently demonstrated an ability to mentor and inspire his employees while driving employments and efficiency, productivity, environmental management and safety. All our leadership group here is truly excited to have an Argentinian mining champion leading this most important Barrick Argentinian operation. I'll now move briefly to touch on our copper operations. Copper continues to have a steady performance, and remains on track to meet our production and cost guidance ranges with copper C1 costs, and all-in sustaining cost ranges having been narrowed during the quarter. Copper production in the third quarter was 100 million pounds with a cost of sales attributable to copper of $1.47 per pound, and an all-in sustaining cost of $2.02 per pound. We announced the Jabal Sayid mine reached commercial production on the July 1, 2016, and I was at that mine two weeks ago. I was very impressed by the high quality of this asset, the meaningful partnership with Ma'aden, and the sheer quality, and energy, and commitment of the Saudi workforce there. The mine continues to demonstrate marked improvement under Sam Ash's leadership as General Manager. They've worked diligently to reduce their all-in sustaining costs to just over $2 a pound for 2016, and we continue to be impressed by the high quality of the Zambian workforce, the relationships with the Zambian authorities, and quite how hard everyone is working to continue the progress. As we remain in a low copper price environment, we continue to demonstrate that we can deliver cash from these assets. Moving on to Pascua-Lama. This project, located on the border between Chile and Argentina, remains as one of the world's most attractive undeveloped gold projects with the potential to generate significant free cash flow over a long mine life. The focus of the industry veteran, George Bee, is to evaluate a scalable starter project using underground mining methods at Lama, the Argentinian side of the whole project. If successful, this could represent the first stage of a phased development plan for the Pascua-Lama project on both sides of the border. George and his team are now advancing a study on the Lama startup project, and when ready, our investment committee will scrutinize the proposal with a degree of consistency and rigor that we've become used to from that committee, whether existing operations, development projects, exploration, potential acquisitions and divestments, before further review by the executive committee and the board. The Pascua team in Chile will continue to focus on optimizing the Chilean components of the project while working to address outstanding legal, regulatory and permitting matters. With that, I'd like to hand it over to Michelle Ash, our SVP of Business Innovation, to discuss our recently announced digitization initiative as part of our best-in-class program.
Michelle Ash - Barrick Gold Corp.: Thanks, Richard. As part of our best-in-class program, we've done a great job making business improvements and driving optimization, some of which the GMs have mentioned, resulting in Turquoise Ridge, for example, moving from 1,650 tonnes a day to 2,150 tonnes a day underground. We're planning some step changes such as Cortez Deep South, where we will transition mining methods from cut-and-fill to long-haul, reducing the mining costs by $30 a tonne, and mechanical cutting with road-headers at TR and Cortez also reducing costs. Innovations we've bought to the operation such as TCM as you heard from Bill is now operating as expected. Digitization of our operations will allow us to make additional step changes and use innovation to deliver greater efficiency. We are going to be different to other mining companies as we will be using the power of computers to augment our people's capabilities and change fundamentally our processes across our whole business, not just in pieces. Across all of our business, we will be implementing a centralized data platform that will allow everyone anywhere on any device to access data and make decisions with predictive and cognitive analytics. We should be able to access data in minutes, not days, to compare and contrast our performance in our operations, solve problems, and identify performance. That speed to insight and level of transparency is unparalleled in our industry. The ability to use the information proactively rather than respond reactively is not how the mining industry has worked before. We are also working on integrating our planning and breaking down the silos, as manufacturing has done, to optimize our business and understand the portfolio, risk and options across all of our planning horizons. Matt Gili from Cortez will now give some specific examples of how digitization can improve our processes at sites.
Matthew D. Gili - Barrick Gold Corp.: Thanks, Michelle. So as outlined, Cortez is the digital flagship for Barrick. On the one hand, there is a great deal of enthusiasm and energy that comes with being the pilot site. On the other hand, there is a very healthy appreciation for just how much Cortez will change as we implement these digital initiatives and embed them in the mine. One of our key drivers of value is increased underground production and this division is well represented with two specific digital projects: short interval control and the implementation of tele-remote and autonomous equipment. Maintenance is a significant spend across the entire organization, and the digital maintenance work management project aims to simplify and increase the efficiency of this work. Think of it as the removal of paper systems, instead using a digital platform to transfer data and task assignments in real time. In the process division, we'll begin by automating certain assets of the main facility as well as a full automation of the satellite areas such as our two key bleach plant facilities. And lastly, we're building a common data platform, which provides real-time data for real-time decision-making. I look forward to keeping you updated as we progress on our digital journey. I'll now hand it back to Kelvin to summarize and wrap up.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Matt. So in closing, I'm pleased that at the end of Q3 we're tracking very well to our full year targets which have continued to improve quarter-over-quarter. Our best-in-class program continues to allow us to reduce costs and optimize our capital spending. We're spearheading our digitization strategy to drive further value across the business, with Cortez leading the way as you just heard from Matt and Michelle. We continue to deliver strong free cash flow, which remains our key focus. And with the combined success of debt reduction and improved operational performance, we're now even better positioned to advance our project pipeline. So thank you, and now I'd like to open the call for any questions.
Operator: Thank you. We will now begin the question-and-answer session. The first question today is from Andrew Quail with Goldman Sachs. Please go ahead.
Andrew Quail - Goldman Sachs & Co.: Good morning, Kelvin and team. Thanks very much for the update and congratulations on a strong quarter. It's encouraging to hear all the Aussie accents on the call. I've got a couple of questions. First is on the digitization, and maybe Matt can jump in here with Richard. Do you guys think you'll get to a point maybe in 2017 where you guys can sort of quantify this on a per-ounce basis at the operations? I mean, we wouldn't be doing our job as analysts if we didn't ask this question.
Kelvin Dushnisky - Barrick Gold Corp.: Andrew, it's a good question. Let me ask Michelle to start and then you can turn it over to Matt if that's helpful to you as well, Michelle.
Michelle Ash - Barrick Gold Corp.: Andrew, look, the simplest answer is yes. We're working very, very hard at the moment not only to work through the detail of the projects and start some implementation, but also specifically work through with the Cortez team what it's going to mean in 2017 for them, potentially even the Goldstrike team, and of course, across the business. So absolutely.
Andrew Quail - Goldman Sachs & Co.: All right. Awesome. Second one is on growth projects. You guys obviously outlined at your investor day this year for I suppose brownfield projects that we were going to receive updates in 2016. Just sort of wondering, and maybe Nigel can jump in here on Turquoise Ridge, is there anything holding up any of the approvals of any of these four projects?
Kelvin Dushnisky - Barrick Gold Corp.: Let me start, Andrew, and then turn it over to Nigel specifically on Turquoise. The answer is, for all four of the organic projects, they're tracking on schedule as we outlined earlier in the year. No surprises there and we'll give an update on all the projects with our year-end results as well, but in terms of Turquoise specifically, let me turn it over to Nigel.
Nigel Bain - Barrick Gold Corp.: Thank you, Kelvin. For Turquoise Ridge, we continue working on the projects, the ventilation shaft. We've already increased in an interim step the ventilation, but we've got to get approval for the investment from the owners.
Andrew Quail - Goldman Sachs & Co.: Got it. And then lastly, one for Catherine, I think. Obviously you talked about M&A, you've pretty much repaired most of the balance sheet, you've given the long-term goal of $5 billion debt, but you obviously highlighted about your debt trading above par now. Is there something -- obviously some of your peers are talking about increasing dividends, is that something that in 2017 that you guys are considering from a board perspective or from a CFO perspective too?
Catherine P. Raw - Barrick Gold Corp.: I'll answer the first part of that question. Yes, so the reason I'm flagging this is really so that you'll understand the thought processes going on internally about how we allocate capital. If you think about it, the three choices we have are debt reduction, dividends and investing back in the business. So I'll let Kelvin answer specifically the dividend question but I think it's clear that we have to reassess given the changing cost of debt, but also the general view that we still need to reduce our debt further what exactly the right balance will be in 2017.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Catherine. I don't think I could say much more than that. I think that was a complete answer other than it's considered at every board meeting including this meeting. There will be a point in time when we look to increase the dividend, but the focus clearly has been particularly this year getting the $2 billion out of the way first, Andrew. So something that would be considered on a going-forward basis. But listen, just before I let you go, Andrew, to complete the answer on Turquoise, you'd asked about approvals. I think Nigel answered correctly in terms of the partners, but in terms of regulatory approval, all of those are in hand at Turquoise as well.
Andrew Quail - Goldman Sachs & Co.: Okay. Thanks, guys.
Kelvin Dushnisky - Barrick Gold Corp.: Great. Thank you.
Operator: The next question is from John Bridges with JPMorgan. Please go ahead.
John D. Bridges - JPMorgan Securities LLC: Hi. Morning, Kelvin, Catherine, and Richard. I think my questions are of course some of Andrew's, but Catherine at Denver you mentioned the idea of actually using some E&P financing methods to finance for your expansions perhaps into the next decade. Could you elaborate a little bit on that?
Catherine P. Raw - Barrick Gold Corp.: I think you've interpreted that rather specifically, John, but I think what we talked about was the partnership.
John D. Bridges - JPMorgan Securities LLC: Okay. I was thinking MLPs.
Catherine P. Raw - Barrick Gold Corp.: No, no, no, nothing quite so sophisticated as that. The cash flow nature of mining is very different to pipelines et cetera, so I wouldn't want to go down that route quite yet. But I think really what we meant is that we're not just going to look at project finance issuing equity in order to build our new projects, but really focusing on strategic partnerships just as we've illustrated in some of our joint ventures that we've already transacted on.
John D. Bridges - JPMorgan Securities LLC: Okay. Okay. And then first a Richard question. The examples of digitizations that you give are similar to some that we've seen from other mining companies. How would you differentiate what you're doing compared to others including the stories we're hearing from Western Australia, some very amazing developments?
Richard J. Williams - Barrick Gold Corp.: Well I'm going to hand it over to Michelle for some detail, but up front John, obviously what we're seeking to do is be at the front end of what the digital technology can offer, and we're learning a lot from what other people are doing, and in the areas that makes sense for our mines, we're clearly picking up that and bringing it in. We're doing it in a staged process from what we call digital 1.0, 2.0, 3.0 and on. And again, the great thing about the digital age is you can observe what others are doing, pick it up, adapt it, do what you need to do, but the important thing is we are doing that, we're also looking across the whole portfolio. Michelle perhaps you can add to that answer, please?
Michelle Ash - Barrick Gold Corp.: Yeah, so look just quickly because there are a number of fundamental differences when we've had the opportunity to look at not only what other mining companies have done over almost a decade, in fact, and then also what manufacturing and the aeronautical industry as well as other industries have done. But I think that sort of the five key – one is the extent which we're intending to take the digitization. Many mining companies have done it in piecemeal where they may have automated an operation, but not all of their operations. They may have got a number of databases, but not a centralized platform. We are lucky that the computing has now advanced, like cognitive analytics are quite available technology as well as predictive analytics. The concept of the rate at which we're going to do this, and of the transformation I think is also different. And the extent to which we're looking at not just the technology, but what's the actual behavioral and business outcome that we want. And in fact that's actually more important than the technology. We're relatively technology-agnostic. And I think that is quite fundamentally different from some of our peers where they focus on the technology rather than what they're trying to achieve with the technology. The other one, the fifth one just to sort of touch on it quickly, is also the agile and customer-centric approach that we're taking. So rather than developing something outside of the end users and then spending a lot of time making end users use it, we're actually developing with the end users so that it's much more like an iPhone, which is very intuitive, and user friendly, as distinct from other systems which most probably require thick manuals to establish how to navigate through one stream and the other.
John D. Bridges - JPMorgan Securities LLC: Trying to avoid the, I'm from head office, and I'm here to help you syndrome?
Michelle Ash - Barrick Gold Corp.: I'm desperately trying to avoid that.
John D. Bridges - JPMorgan Securities LLC: Well done, guys. Thanks a lot. Good luck.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, John.
Operator: The next question is from Stephen Walker from RBC Capital Markets. Please go ahead.
Stephen David Walker - RBC Dominion Securities, Inc.: Thank you very much. I just wanted to follow-up on the question I guess from the last quarter where we discussed a little bit about the breakdown in the sustaining capital cost savings at the mines. I'm wondering if you could elaborate now that you're further into the year, further into the process. The 6% reduction in sustaining capital costs. Can you break down for us what is a sustainable cost savings and sustaining capital through best-in-class practices or other practices? And what is actually potentially deferred into 2017 or into later years?
Kelvin Dushnisky - Barrick Gold Corp.: Sure. Stephen, maybe Catherin you could start. And Richard, you could supplement it, if helpful.
Catherine P. Raw - Barrick Gold Corp.: Okay. So we've analyzed this very carefully ourselves because we need to properly understand what is sustainable. And what we've identified of the cost savings that we've been able to achieve and that we plan to achieve for the full year which relate to our adjusted CapEx guidance and specifically relating to sustaining CapEx, just over half of that is effectively to do with adjusting the plan, either because we've changed our maintenance schedules to improve sustaining CapEx over the life of mine. Or because we've deferred it because it didn't need to be done this year. And like I said, it's literally just over half. Around 55% of that is what you could describe as deferrals. The rest is sustainable reductions. Either it's because we've taken things out of scope that we just didn't need to do or it's because we've improved our assumptions, improved the scope, improved the efficiencies through, for example, improved – improvements in capitalized stripping, and those I would describe as sustainable. So that gives you as transparent an answer as we can because we wanted to understand this for ourselves.
Stephen David Walker - RBC Dominion Securities, Inc.: Thank you.
Kelvin Dushnisky - Barrick Gold Corp.: You covered it very well.
Stephen David Walker - RBC Dominion Securities, Inc.: Yeah. Thank you for that, Catherine. Maybe just one other follow-up question or other question. The cost of sales, the COS number that's now provided in the disclosure and in the quarterly release, so what's the rationale for adding another cost of – cost item in the disclosure in the documents?
Kelvin Dushnisky - Barrick Gold Corp.: Well, Stephen, Catherine was just hoping you'd ask that question so, Catherine?
Catherine P. Raw - Barrick Gold Corp.: So as I referenced, and we've been working with the Ontario Securities Commission to ensure that while we provide extra information to our investors using non-GAAP measures, we are also making sure that we provide greater prominence to GAAP measures. So the cost of sales per ounce applicable to gold on a attributable basis is a GAAP measure, so it is effectively our cost of sales divided by – applicable to gold divided by attributable ounce. That includes depreciation. It doesn't include by-product credits. It is a GAAP measure. So that is why we now include it in order that all investors across any industry are able to understand our cost structure.
Stephen David Walker - RBC Dominion Securities, Inc.: Thank you very much for that, Catherine. Thanks, Kelvin.
Kelvin Dushnisky - Barrick Gold Corp.: You're welcome. Thanks for dialing in, Stephen.
Operator: The next question is from Greg Barnes with TD Securities. Please go ahead.
Greg Barnes - TD Securities, Inc.: Thank you. Catherine, you commented earlier on about looking at strategic partnerships, that's interesting in the context of the stories out recently about potentially selling 50% of Veladero, and that being contingent on a partnership in Pascua-Lama. Is that the type of thing you're looking at doing because Veladero is one of your core mines? I don't think it was something that you'd be looking to sell down.
Kelvin Dushnisky - Barrick Gold Corp.: Maybe, Greg, I can respond to that. A couple things. First of all, the core mines versus non-core mines. Like we haven't cleared it, and we've outlined the non-core mines, and at some point in time, when it makes sense, we get full value. Those are certainly targets for divestment. The core mines, we never said that we would not sell a core mine or part of a core mine. Clearly, they represent much greater value, and in the instance that you would have to foresee the ability to do something in a strategic context as far as that goes. As a general comment, we have said that partnerships are core to our strategy. You can expect to see more from us in that regard, going forward it makes sense. And while we don't want to comment specifically in this particular instance, we have also included the entire (46:57) belt, when you consider it, is a great opportunity for us to look at potential partnerships, Greg, for future development of the assets that we know and potentially other deposits will develop with time. Very consistent, it's on strategy, on message and you should expect to see more from us in that respect in the future.
Greg Barnes - TD Securities, Inc.: Good. Just secondly then, you've talked over the course of the year that as things improve, the balance sheet improves, you're looking to get a little more on the offense and the defense. Are you pushing harder on that front now, the offense?
Kelvin Dushnisky - Barrick Gold Corp.: You know, yeah we've always been looking at. But admittedly in the last year or two we weren't in the position to where want to move to the offense. It wouldn't have made sense for us to. So we're certainly looking, Greg, but we're also demonstrating, I think, that we're being patient and as we indicated, we really want to show that we'll be as discerning as a potential buyer as we were, and continue to be a seller. The right opportunity comes along, and if we see particularly an opportunity where by applying our new cost structure for example, which we've now institutionalized, we see the opportunity to drive value for our shareholders that way could be interesting. But at this point, we're going to be patient, if something good comes along, we'll look carefully, but we really want to be sure that it demonstrates value before we move on anything.
Greg Barnes - TD Securities, Inc.: Great. Thanks, Kelvin.
Kelvin Dushnisky - Barrick Gold Corp.: You're welcome. Thank you.
Operator: The next question is from David Haughton with CIBC. Please go ahead.
David Haughton - CIBC World Markets, Inc.: Good morning, Kelvin and team. Thank you for fielding this on a busy day. I'd just like to revisit the sustaining CapEx question if I may. As I understood from the previous call, the third quarter was going to be quite a step up from the second quarter, but we didn't quite see that. I understand from Catherine's discussion this is still work in progress. What do you think the chances are that you'll actually come in under your guidance, given that there's such a big catch up in the fourth quarter for either further savings as you're working through that, or perhaps deferrals?
Catherine P. Raw - Barrick Gold Corp.: Well, I don't want to speculate. I think, again, we've tried to analyze this as carefully as we can, and that is why we've adjusted our CapEx guidance to the level it is. Clearly, now, the question is really how much can we do, given that there's only two months left of the year. But we've looked at what's in the budget, we've analyzed where that spend is going to occur, and I think we're comfortable with that range and it's really why we've narrowed it to the extent that we have.
David Haughton - CIBC World Markets, Inc.: It's just that going into the third quarter we were expecting such a pick-up. And I'm just trying to think if there had been decisions made to defer certain items or to postpone certain items as you went through on the quarter, and just how active you are on a day-to-day basis in assessing those expenditures?
Richard J. Williams - Barrick Gold Corp.: So just on, hey, Dave, it's Richard. The way I look at it and the way we're watching it roll forward from the site is the continuation of the work that started the year, and the best-in-class program. They're scrubbing everything. As we explained, is that it's not as Catherine outlined, deferrals as a result of changing maintenance programs. But then genuine efficiencies comes from driving down the costs of doing things that we have planned to do and are doing. Remembering that the best in class, of course, it didn't really pick up a lot of wind in its sails to round about the end of Q1. We kind of expected the main effort to start round about now through Q3 through to Q4. So it's hard to predict when these things fall which may explain why we weren't able to give such precise guidance. And as going forward, that's kind of the way. Again it's bottom up, really. And we're watching them how they're doing it. And that's how I'm seeing it evolve.
Catherine P. Raw - Barrick Gold Corp.: And the one thing.
David Haughton - CIBC World Markets, Inc.: (50:57)
Catherine P. Raw - Barrick Gold Corp.: Sorry. The one thing I would just highlight is that the Veladero incident did mean that we didn't spend some CapEx that we were expecting to spend in the third quarter.
David Haughton - CIBC World Markets, Inc.: Okay.
Kelvin Dushnisky - Barrick Gold Corp.: That's right.
David Haughton - CIBC World Markets, Inc.: All right. Thank you very much.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, David.
Operator: The next question is from Steven Butler with GMP Securities. Please go ahead.
Steven Butler - GMP Securities LP: Good morning, guys. We just finally completed reading the MD&A. Kelvin, the – insert that joke. Your free cash flow was nothing short of spectacular. Congratulations on that. Can you maybe explain, perhaps Catherine, the anomaly I saw in the cash taxes where on the MD&A you'd look current tax of $285 million, but actually paid in the quarter $56 million? So should we expect a bit of a catch-up on cash taxes in the fourth quarter and to lingering into early next year?
Catherine P. Raw - Barrick Gold Corp.: Well, these things don't all come smoothly. So I wouldn't expect anything, a significant step-up in the fourth quarter. But I'd expect you to see that unwind over time.
Steven Butler - GMP Securities LP: Right. Okay. Kalgoorlie, guys. Are we approaching the eighth inning on this asset sale? Or is there any different update there, Kelvin, that you can share with us? Timing?
Kelvin Dushnisky - Barrick Gold Corp.: Listen, Steven. Process well underway. Lots of interest, both from inside Australia and outside of Australia. So can't really comment more than that, given it's underway. But other than to tell you it's a robust exercise.
Steven Butler - GMP Securities LP: Sure. And lastly, Lumwana delivering quite well, guys, on your C1 cash costs $1.32 in the quarter. Is the easier, some of the easier things been implemented and attained at Lumwana or is there still a few more things to work on.
Kelvin Dushnisky - Barrick Gold Corp.: Listen, Steven. We have Sam Ash here, the GM with us today. So I'm going to move to refer that question to Sam.
Sam Ash - Barrick Gold Corp.: Yeah, Steven, the team there is really focused on continuing to come down the cost curve with the copper price where it is. It's really a requirement -- the team has really rallied around continued cost reductions, and we're working hard to continue to push that cost down as far as we can.
Steven Butler - GMP Securities LP: Where have you attained some of the easier or better savings, Sam?
Sam Ash - Barrick Gold Corp.: It's really a broad based cost reduction through G&A operating cost. And some highlights are around the processing costs have come down nicely, and we've continued to see some good movement in G&A.
Steven Butler - GMP Securities LP: Okay, thanks very much.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Steven. And listen just to help you and others, we promise we won't write the MD&A in Australian in the next quarter.
Catherine P. Raw - Barrick Gold Corp.: Maybe, we should.
Operator: The next question is from Chris Terry with Deutsche Bank. Please go ahead.
Christopher Terry - Deutsche Bank AG (Australia): Hi, guys. Two or three questions if I may. Just in terms of Pascua-Lama, at this stage, given you're still undergoing a balance sheet transformation, would you say it's entirely dependent, the time line is entirely dependent on feasibility and permitting type work or is it somewhat constrained with where you're trying to take the balance sheet as well?
Kelvin Dushnisky - Barrick Gold Corp.: No, at this point, Chris, it's really tied to working through the scopic study on the Argentine site first to see if it makes sense to do a scalable kind of buildup, and then obviously transition there onto the Chile site. At the same time, on the Chilean site, more particularly, we're continuing to work through the regulatory process. As you know we have a project on our temporary suspension. So we've been able to ratchet down the holding costs. So, and the way we're looking Pascua, we're optimistic, we're enthusiastic, in fact. But, nothing before it's time. We're going to make sure it goes through the proper steps, we'd show the economics work, and we'll look forward to continuing to update as we go.
Christopher Terry - Deutsche Bank AG (Australia): Okay, thanks. And any update on Donlin or your other potential future greenfield projects?
Kelvin Dushnisky - Barrick Gold Corp.: Yeah, just the same. At least with the progress we're making, the teams are looking at all the projects in terms of are there opportunities to reduce capital in particular. We'll give an update with our year-end results, but generally speaking everything is tracking just as it should in terms of the various projects either going through permitting or doing engineering, and so we're pleased with the progress.
Christopher Terry - Deutsche Bank AG (Australia): Okay, thanks. And then just one last one. In terms of the capital that's been talked about a lot on the call, and where you're all in sustaining costs have been, would have come down to, is there any revision likely to come in the $700 an ounce target in terms of maybe bringing that forward from 2019?
Kelvin Dushnisky - Barrick Gold Corp.: You know, at the end of the year we'll look at our guidance for – we've issued 2017 and 2018, and we'll revisit that. We'll look at 2019. So it's a little early to tell, but we put $700 out for 2019. It's a fairly ambitious target.
Catherine P. Raw - Barrick Gold Corp.: And it's aspirational, to be clear.
Kelvin Dushnisky - Barrick Gold Corp.: Yeah, and we always like to beat our aspirations but we'll see. We don't want to get ahead of ourselves on that.
Christopher Terry - Deutsche Bank AG (Australia): Thanks, Kelvin.
Kelvin Dushnisky - Barrick Gold Corp.: You're welcome. Thanks for dialing in.
Operator: The next question is from Kerry Smith with Haywood Securities. Please go ahead.
Kerry Thomas Smith - Haywood Securities, Inc.: Kelvin, when do you think you'll actually conclude the KCGM sale process then?
Kelvin Dushnisky - Barrick Gold Corp.: Kerry, it's too early to tell. We're just into it, it's going well, but I wouldn't want to put a time line around it. I can tell you it's a very active process and I can't really say much more than that at this point.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. So it's maybe a 2017 event then I guess. And just on the sustaining CapEx, what, Catherine, do you think the run rate might be on a go forward basis for the operations you have today in terms of annual sustaining CapEx?
Catherine P. Raw - Barrick Gold Corp.: Well, we gave that guidance, the three-year guidance, at the beginning of the year, and I think really now we're in the process of planning, budgeting, understanding particularly those deferrals that I talked about. How they fit into the 2017, 2018 and 2019 budgets. So I would say, at this moment, stick with the numbers we've already provided, and clearly as we go, in the fourth quarter results we'll then update that. So the initiatives for the improved efficiencies and for a better understanding for the new Barrick.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. And can you remind me that there was a pretty broad range in those numbers for 2017, 2018. How much was in those numbers for deferrals that were catch-up from, say, deferrals from 2016?
Catherine P. Raw - Barrick Gold Corp.: Well as I've said, you know, if we stick with the guidance that we gave at the beginning of the year, which was for 2017, that $1.5 million to $1.75 million for total CapEx. And I can't remember off the top of my head what was split between sustaining and project CapEx was. But if you stick with those numbers, at this moment I'm still of the view that that's accurate, but we will update you in our fourth quarter results.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. And then the G&A guidance that you gave in the Q2 financials was $145 million at the corporate level. This quarter it's at $160 million. And is that sort of $160 million guidance kind of an expectation on the run rate on a go-forward basis?
Catherine P. Raw - Barrick Gold Corp.: So I think, actually, the $145 million was what it was at the start of the year. We then, at Q2, adjusted to $165 million and now we're sitting at roughly $160 million. And I know that because I've got it in front of me.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. Well, I'm looking at the Q2 MD&A, page 24. It says $145 million for corporate admin. So maybe – okay, so you're saying it's roughly flat and at $160 million.
Catherine P. Raw - Barrick Gold Corp.: Yeah.
Kerry Thomas Smith - Haywood Securities, Inc.: Great. Okay. Okay. Okay. That's it. Thanks.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks a lot, Kerry.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Kelvin Dushnisky.
Kelvin Dushnisky - Barrick Gold Corp.: Well, thank you, operator, and thank you, everybody, for joining us on the call today. We appreciate your time, and we look forward to updating you on our fourth quarter and year-end results on our next call. So thanks very much.
Operator: This concludes today's conference call. If you should have additional questions, please contact The Barrick Investor Relations Department. You may now disconnect your lines. Thank you for participating. And have a pleasant day.